Operator: Welcome to the Cedar Fair Third Quarter Conference Call. Today's conference is being recorded. At this time I would like to turn the conference over to Stacy Frole. Please go ahead.
Stacy Frole: Thank you; and good morning, everyone. Welcome to our third quarter earnings conference call. I'm Stacy Frole, Cedar Fair's Vice President of Investor Relations. This morning we issued our 2016 third quarter earnings release. A copy of that release can be obtained on our corporate Investor Relations website at IR.CedarFair.com or by contacting our Investor Relations offices at 419-627-2233. On the call this morning are Matt Ouimet, our Chief Executive Officer and Brian Witherow, our Executive Vice President and Chief Financial Officer. Before we begin I need to caution you that comments made during this call will include forward-looking statements within the meaning of the federal securities laws. These statements may involve risks and uncertainties that could cause actual results to differ materially from those described in such statements. You may refer to filings by the Company with the SEC for a more detailed discussion of these risks. In addition, in accordance with Regulation G, non-GAAP financial measures used on the conference call today are required to be reconciled to the most directly comparable GAAP measures. During today's call, we will make reference to adjusted EBITDA as defined in our earnings release. The required reconciliation of adjusted EBITDA is in the earnings release and is also available to investors on our website via the conference call access page. In compliance with SEC regulation FD, this webcast is being made available to the media and the general public as well as analysts and investors. Because the webcast is open to all constituents and prior notification has been widely and unselectively disseminated, all content of the call will be considered fully disclosed. Now I will turn the call over to Matt Ouimet.
Matt Ouimet: Thank you, Stacy and good morning, everyone. I'd like to start by saying how proud I am of our entire Cedar Fair team, with a special call-out to our operators, who continue to do the heavy lifting when it comes to delivering the best guest experience in the industry. Thanks to their dedication to our mission to become "THE place to be for FUN," we've achieved the best post-Labor Day performance in our Company's history. That in turn helped drive a strong third quarter, despite the record heat and we remain on track to deliver our seventh consecutive year of record results. It also supports our efforts to generate additional value for our unitholders, as reflected by the 4% increase we announced today in our quarterly distribution. Before Brian provides more detail on our financial performance through the third quarter, including the peak vacation months of July and August, I want to say a few words about our performance through the end of October. Consistent with prior years, our growth continues to be balanced with increases in attendance, guest spending and out-of-park revenues. Through this past weekend, attendance was up 2% for the year to date. In part, guest per-capita spending was up slightly more than 1% and out-of-park revenues were up 6% when compared with the same period last year. I'm particularly pleased with our ability to grow per-caps while at the same time continuing to see an increase in our season pass programs. It's also satisfying to see the investments we've made in our resorts and catering facilities are providing returns beyond our original projections. This broad-ranging success reflects not only the quality and diversity of our new rides and attractions, but also our ongoing strategic initiatives to expand the appeal of our entertainment offerings and enhance the impact of our marketing programs. Most notably, the addition of limited time special events at all of our parks has proven a successful device in driving urgency, enhancing the value proposition of the season pass and tapping into an incremental audience who isn't a thrillseeker. The brand positioning work you've heard us refer to in the past provides a disciplined approach to the determination of the specific programming of events in each of our parks. While I'm tempted to list the collection of events we executed this year, I'll limit my examples to Knott's Ghost Town Alive, the most innovative, immersive entertainment offering in any amusement or theme park this year; and Cedar Point Nights which brought the park's mile-long beach to life at night and gave our guests a reason to extend their park visit beyond the dinnertime period and, in some cases, add a second day. These events, along with many others, will be back bigger and better next year. As another reference point for the impact of special events, early results from 2017 season pass sales indicate the addition of WinterFest has strong consumer appeal. To remind you, we launched WinterFest this month at California's Great America and are expanding the concept to three more parks next year. There is no doubt that over time these events will become part of the family holiday tradition in each of these markets. After Brian discusses our financial results in more detail, I will talk about where we go from here and our confidence in 2017 and beyond. Brian?
Brian Witherow: Thanks, Matt and good morning, everyone. As Matt mentioned, we're very pleased with our strong operating performance through this past Sunday, October 30 which puts us on track for our seventh consecutive year of record results. Before I discuss the positive trends we experienced in October, I would first like to provide additional color on our third quarter results. As detailed in our earnings release for the third quarter of 2016, we reported a 1% increase in net revenues to a record $650 million. This was the direct result of a 1% increase in in-park guest per-capita spending to $48.01 and a 5% increase in out-of-park revenues, including resort accommodations. These increases were slightly offset by a less than 1% decrease in attendance. For modeling purposes, during the quarter we entertained 12.5 million guests and generated out-of-park revenues totaling $68 million. The increased guest spending in the third quarter when compared with the same period a year ago primarily came from increases in both admissions pricing and spending within our food and beverage category. Season pass holders have responded very positively to our all-season dining program which is in its second year of implementation; and our all-new all-season beverage program also contributed nicely. We're pleased with the solid per-caps we have generated across all of our parks, particularly given the year-over-year growth in season pass visits and the extreme heat that we experienced during our peak vacation months - both factors that tend to put pressure on guest spending metrics. The growth we generated in out-of-park revenues is largely related to increases in both occupancy rates and average daily room rates at our Cedar Point and Knott's Berry Farm resort properties. Demand for accommodations remains strong and our resort business provides a nice hedge against negative weather trends and extends the average length of stay of our guests. This is why we will continue to actively pursue growth in this area over the next several years. As previously disclosed, attendance trends in July and August were below expectations due to a midsummer heat wave that hit the majority of our parks over a four-to-five-week period. While disappointing at the time, over the years we've come to realize that during the course of every season there will be ups and downs in attendance as a result of macro factors outside of our control. Our job is to manage through these cycles and not let these factors become an excuse. Consistent with what we would've expected, in mid-August we saw attendance recover and trends accelerate for the remainder of the third quarter once weather normalized. Moving on to the cost front, operating costs and expenses for the third quarter totaled $316 million, representing an increase of $14 million or 5% from the third quarter of 2015. The increase in cost was largely due to planned increases in labor cost due to higher seasonal wage rates and normal merit increases. As we've indicated on previous earnings calls, we came into 2016 anticipating that operating costs would be up as much as 6% over the prior year. Our expectations were primarily driven by increasing minimum wage rates and related pressures on seasonal labor costs. In addition, we planned to incur incremental costs associated with the introduction of multiyear initiatives aimed at enhancing the in-park guest experience, such as free park-wide Wi-Fi, new in-park mobile apps and FunPix, our new digital photo platform. In the quarter, the lion's share of the increase in operating costs related to higher labor costs and these new initiatives. To help offset these cost pressures, we've made it a priority to identify and activate labor optimization opportunities as well as other cost-savings initiatives around the parks. Overall, our park GMs and their teams have done a good job of keeping actual cost increases inside of budget, in large part by aggressively managing seasonal labor hours. Adjusted EBITDA which we believe is a meaningful measure of our park-level operating results, was $336 million for the third quarter of 2016, down $10 million or 3% year-over-year. The decrease in adjusted EBITDA during the quarter was the direct result of the extended period of challenging weather I mentioned earlier. This resulted in a shortfall in attendance during the period, as well as a shift in consumer spending away from our hard ride parks and to our water parks, where guests have historically spent less. A shorter length of stay also occurred at our parks during this period due to the record heat and humidity. Again, we did see these trends improve over the latter half of the third quarter and into October once weather normalized. For the nine months ended September 25, 2016, adjusted EBITDA was $428 million and comparable with the same period last year. We always remind everyone that it's difficult to extrapolate partial season performance into full-year results which is why we believe it's important for us to discuss our attendance and revenue trends through this past Sunday, October 30. Based on preliminary results, net revenues through the first 10 months of the year were up 4% or $42 million to $1.2 billion. The year-over-year increase was the result of a 2% or 558,000 visit increase in attendance, to a record 24.2 million visitors and a 1% or $0.52 increase in in-park guest per-capita spending to a record $46.82. During this same period, out-of-park revenues increased 6% or $8 million to a record $135 million. The increase in attendance was led by strength in our advanced purchase channels, in particular season pass sales. As Matt mentioned earlier, we believe this is a direct result of our marketing programs and our special event programming which provides reasons to visit our parks early and to visit them often. This has resulted in a combination of more season pass units sold and an increase in the average visits per passholder through this past weekend. Through the end of October, overall attendance from season pass visits is up almost 400 basis points over the same period last year. I'm also pleased to say advanced sales for our 2017 season passes and all-season dining and beverage plans are off to a strong start. Given the continued shift in attendance mix towards season passes, we're pleased in our ability to generate continued improvement in guest per-capita spending levels through this past weekend. The slightly more than 1% increase in per-capita spending was driven by improved spending in admissions, food and beverage and premium product offerings. On the operating cost front, we expect the trends in cost to improve somewhat in the fourth quarter when compared with the fourth quarter last year. This is due to the timing of off-season projects that were completed during the first half of 2016 as a result of favorable winter and spring weather conditions, as well as other discretionary initiatives that were activated in the fourth quarter last year that we don't anticipate activating again this year. Based on results to date we still anticipate full-year margins will be comparable with last year's 37% level. Now let me highlight a few items on our balance sheet. Our liquidity and cash flow remain strong and we ended the third quarter in solid financial position with $187 million in cash on our balance sheet. At the end of the third quarter, our consolidated leverage ratio was 3.4 times and is well within our comfort range in the current credit market environment. For the near future, we expect our average cost of debt to be approximately 5.3% and annual cash interest cost to approximate $85 million. Deferred revenues at the end of the third quarter totaled $66 million, up $14 million from the same time last year. Approximately two-thirds of this increase is associated with our record season pass and all-season dining and beverage sales for 2016; and one-third of the increase is associated with our strong start to our 2017 advanced sales. Finally, we're pleased with the Board's decision to increase our quarterly cash distribution by 4% to an annualized rate of $3.42 per Limited Partner unit. Based on our solid performance this year, our confidence in our business strategy going forward and the strength of our balance sheet, we believe we have the appropriate capacity to increase the distribution to our unitholders at this time. The $0.855 per unit quarterly cash distribution is payable on December 15 to unitholders of record on December 5, 2016. In conclusion, our operations continue to generate a significant amount of cash. We have a capital structure and an operating strategy that provides us with the flexibility to increase our distribution, while also having the optionality to make additional capital investments should we believe an attractive return is available to us. As always, we will continue to prudently manage our cash flow to maximize value for our unitholders both in the near and long term. Now I'll turn the call back over to Matt.
Matt Ouimet: Thank you, Brian. As we look at finishing another record-breaking year, we look forward to an expanded operating season at California's Great America with the introduction of WinterFest and the continued success of Knott's Merry Farm. In both cases, the parks are transformed into spectacular winter wonderlands with holiday shows and festivities for every member of the family. For example, guests at Great America will be able to ice skate in front of the park's iconic double-decker carousel, enjoy magnificent light displays, view spectacular live holiday shows and enjoy a wide variety of food and beverage offerings specifically tailored to the event. As I mentioned earlier, this is the first phase of a broader strategy to introduce winter holiday experiences at our other seasonal parks. Kings Island, Carowinds and Worlds of Fun are already planning their season-extending WinterFest holiday festivals for next year. As you can tell, we're excited about the potential WinterFest represents for extending our season and expanding the entertainment offerings to our guests. WinterFest is a great example of our capital investments that are focused on long term, sustainable revenue streams and incremental cash flow. We expect WinterFest to be successful in year one; but we also believe the larger opportunities for increases in both attendance and in-park guest per-capita spending will come in years two, three and four as awareness builds and demand for the product increases. This is similar to what we've seen with our springtime events such as the Boysenberry Festival and Taste of the Carolinas and most notably with our Halloween events that have been built up over time. Heading into in 2017, our new Cedar Point Sports Center will kick off its inaugural season in March. This state-of-the-art sports park will host more than 100,000 amateur athletes and their families from around the country, all of whom who will combine the thrill of competition with all the thrills offered by Cedar Point. This is another incremental revenue stream that will produce steadily increasing revenues and cash flows over the next several years. While the events themselves are modestly profitable, the real opportunity comes from the length of event pass to Cedar Point and the new Cedar Point Shores Water Park that is embedded within the tournament tickets, along with the ticket packages available for the athletes' families and friends. We believe this will bring incremental guests to Cedar Point who otherwise would not have traveled to the area. In combination with this new sports park, we're also expanding our resort accommodations to more aggressively position Cedar Point as a true, multi-day vacation destination. Next year we will add more rooms to Cedar Point's Express Hotel and an additional tower of rooms at Hotel Breakers on Cedar Point's mile-long Beach will open in 2018. Plans to add resort accommodations at our other parks continue to move forward and we're now actively negotiating with popular hotel brands for franchise licenses in those markets where we see these opportunities. Our resorts differentiate our parks, encourage multi-day visits and provide sustainable cash flow. Our rezoning application for Great America in Santa Clara continues to move forward. The completion of this process which is anticipated for early next year, will allow us to aggressively pursue the potential we see in this highly dynamic market. These are just some of the plans we have announced for our 1,300 acres of undeveloped land adjacent to our parks. We continue to believe this land provides a large opportunity for growth and we will continue to make announcements as we identify and finalize projects that will drive both direct value and admission synergy. We have also received excellent responses to the new rides and attractions announced for our parks in 2017, such as the Mystic Timbers wooden roller coaster at Kings Island and the newly rebranded and expanded Water Parks at Cedar Point and Knott's Berry Farm. As Brian mentioned earlier, our advanced purchase commitments, including season pass sales, all-season dining and all-season beverage sales, are trending well ahead of last year's record sales driven by the anticipation of these new attractions and our special events programming. We remain very confident in the long term strength of our business and we continue to expect to achieve our FUNforward 2.0 long term target of $500 million in adjusted EBITDA by the end of 2017, one year earlier than originally planned. Before we open the call for questions I want to take a moment to publicly congratulate Richard Zimmerman on his recent promotion to President of Cedar Fair. I, along with our Board of Directors, consider professional development of our team and succession planning two of our most important responsibilities. As a management team, we broaden this obligation to include designing the organization in a manner that aligns with the issues we will face in the future. Last week's promotion of Richard to President and Chief Operating Officer is tangible evidence of the value generated by our commitment to professional development, while at the same time expanding our organizational capacity. I've often referred to Richard as the best operator in the industry, but that label is unfairly limiting. He is an extremely talented executive and a major contributor to Cedar Fair's success. This change also allows me to further explore future growth opportunities for the Company while still being confident that our existing operations will remain industry-leading. Now we will open up the call for any questions you may have.
Operator: [Operator Instructions]. And our first question comes from Ben Chaiken with Credit Suisse.
Ben Chaiken: At the end there, did you say $500 million by 2017? I just want to confirm that.
Matt Ouimet: Yes.
Ben Chaiken: When we talk about cost in 4Q being lower, was that as a percentage of revenue or is that absolute value? How are you guys thinking about it there?
Brian Witherow: Ben, it's Brian. We're really just looking at costs in overall dollars. Just to give you a little bit of color, in the first and fourth quarters - what we often call the shoulder months of the season - is where we have some of the most discretionary spend opportunities. And in the first quarter of this year, we continued the momentum that we had coming out of the fourth quarter of 2015, with good winter weather, to lean into and get some of those discretionary projects done. As I said on the call, I don't anticipate activating those projects in 2016 to the same scale. What will be a little bit of an apples-to-an-orange comparison is the fact that we're introducing WinterFest, so those are going to be incremental dollars for Great America. So when we think of the overall dollars, I can't say that there won't be an increase; but at the parks where things are comparative, more of an apples-to-apples comparison, we would anticipate being able to keep those costs under control.
Ben Chaiken: Then as we roll forward into 2017, how should we think about the increase in OpEx? I guess, does the minimum wage have that same step function as we saw this year? And what about some of the other initiatives that you mentioned, the Wi-Fi, the FunPix, etc.? Are those all - is that going to roll forward next year?
Brian Witherow: Yes, sure. We're still in the planning process for 2017. In the last few weeks we've really - as the season's been winding down we've been kicking into our specific planning around 2017. So we're still assessing and evaluating some of the initiatives coming out of 2016 to determine how much we want to lean into them as we go into 2017. Broadly speaking, what I would tell you from labor - and we alluded to this on the call - the lion's share of the cost increase this year, OpEx increase, has been labor cost. And it was - I think we were very upfront coming into 2016 that that was going to be a step function. As we look at the pressures on 2017, I don't envision the same kind of pressure for a step function. We do believe that minimum wage and seasonal labor will continue to see pressure there but not [indiscernible] 2016.
Matt Ouimet: Ben, this is Matt. We're also very confident in some of the things we tested this year that will help reduce labor in various areas. What we call our labor optimization group has recently got their 2017 plan endorsed. And as you would expect we're going to continue to implement devices that help us reduce operating labor from a volume standpoint.
Ben Chaiken: That's really helpful. Just remind me; did 2015 have that step function as well in minimum wage?
Brian Witherow: No, it did not.
Operator: And our next question comes from Tim Conder with Wells Fargo Securities.
Tim Conder: A few questions here, one, Brian or Matt, whoever would want to take this, can you quantify a little bit what you're seeing in the year-over-year growth in season passes for 2017? And then any commentary that you would have on your season dining pass penetration in 2016 and maybe trajectory of where you see that going?
Matt Ouimet: Tim, I'll start; and Brian, feel free to jump in here. We're not going to quantify the penetration level on season-pass dining. What we can tell you is that we continue to see that penetration go up, as you might expect, as the product becomes more well-known and certainly is treated as a great value by our consumers. So that's going to continue to grow. We've got every confidence in that. And, Tim, in the same regard, what I will say - and we always caveat that it's very early in terms of season-pass sales - but we're seeing a very nice increase in renewal rates for our season passes, as well as just overall volume increases across every one of our parks so far this year.
Brian Witherow: Yes, Tim, just to add a little color on the dining penetration, what I will tell you is that we're in the third year at several of our parks and even in the third year we continue to see penetration rates improving, as Matt indicated. So that was three of the 11 parks that are in the third year; the other eight were in their second year this year. So we're very confident as we go forward that that will continue to see improvement, those penetration rates, as Matt indicated, as the awareness of the product broadens and we continue to enhance our promotion of the product within the parks and prior to visiting the parks.
Tim Conder: Okay. Gentlemen, again just maybe pushing here a little bit, are your season passes - you've got good renewal rates and new coming in. Would it be fair to say double-digit? Are you seeing as much as that? Again, granted it's very, very early here.
Matt Ouimet: It is early, Tim. But I'll just say that we're very happy with what we're seeing.
Tim Conder: Then the attendance shortfall that you saw due to the heat indices that we saw across the whole country - and yourselves and competitors saw the same issues. Was that focused more - is there a way to bucket it, that more in single day? Was it season-pass folks? Was it group or spread across those buckets?
Brian Witherow: Yes, Tim, what I would tell you there is if you think of our attendance in the three core channels of season pass, group and then just the retail channel, that general admission retail channel tends to be the one that's most impacted. Season-pass holders still have the opportunity to come and do the short three-, four-hour visits. As we said on the call, we tend to see a shift in the behavior of the guests more toward the water park side of the park. That's a lot of season pass holders just coming for a few hours to get out of the heat and enjoy the water park offerings at our parks. So I would say it was the general admission guest that was impacted. And the implications of that are a little bit - when we're talking about July and August, those single day visitors are some of your highest per-cap visitors for the visit and so that puts a little bit of pressure on not only per-caps but ultimately EBITDA because you just don't have as much money falling to the bottom line.
Tim Conder: Okay, okay. Then, Matt, it sounds like you may, given Richard's well-deserved promotion, it sounds like freeing you up to, as you said, do a little bit more strategic and focus on other things for the Company. Any color you can give us on that? I would guess that would include maybe also, given your background for a while in the hotel industry, that would include maybe accelerating some of those hotel negotiations. And any potential timing where we could see some announcements with partners?
Matt Ouimet: So I think on the - so, Tim, that is exactly one of the reasons we gave Richard his promotion, because we have a reasonably long list of opportunities that go on those 1,300 undeveloped acres. And as we said in the script, what's nice about that is it gives you direct, sustainable cash flow, but it also gives you strategic value in terms of additional admissions. So I would expect that by the time we got in - candidly into the first quarter of next year, we'd have some definitive news about some of the hotel expansions we're talking about in the two markets we've referenced previously. And then on the other initiatives, I think you'll hear about them as we go over - again as we go through the course of next year. The resort products are proving to be very good differentiators for us. They come with a really good guest demographic. They come with long lengths of stay. And they also provide that buffer against the weather. The hotel reservation process is something that people make a commitment to both personally and financially. And so I wouldn't be surprised to see us continue to roll out hotels where they make sense and also continue to expand our campground offerings. But those are two just smaller examples of what we hope to be able to find for those 1,300 acres.
Operator: And our next question comes from James Hardiman with Wedbush Securities.
James Hardiman: I just wanted to go through the progression here the last few months. Obviously, Labor Day sales I think were up 2; through September we were up 3; and then through October we were up 4. Obviously, rounding has always been an issue and you guys don't like to give us specific numbers; but I think it's an important point here. Is it safe to say that we were seeing double-digit type revenue growth in September and October?
Brian Witherow: Yes, I'd say that's exactly the case, James.
James Hardiman: Okay. Can you help us in terms of what was driving that turnaround? How much of that was attendance versus per-caps? How should we think about that?
Brian Witherow: Yes, sure. I mean, I think if you look at the numbers that we've disclosed now and do the math you can see that it's coming largely from attendance although we're, as we said on the call, pleased with what we continue to see out of per-cap. In spite of season-pass visitation representing close to 400 basis points more of the mix through the first 10 months of the year compared to last year, we're still getting per-cap growth. So per-cap growth would be pretty consistent with what we previously disclosed. We've been up in that 1% to 2% range on per-caps most of the year. Out-of-park revenues continue to do well. But without a doubt, the September and the October performance was fueled by strong growth in attendance.
Matt Ouimet: James, the other thing I want to go on the record is, we've been a little more vocal than we'd like to be about lamenting the summer heat wave. But the reality is, as is always the case or proves to be almost always the case, once you average through September and October we feel like we're going to end up with a very - maybe three component parts, early strong; middle a little weak; and certainly strong in the last month. But the reality is, weather tends to normalize itself over nine to 12 months. And we're seeing that this year.
James Hardiman: Great and then going along those same lines, I believe that you said that you still expect flat EBITDA margins for the year. Year-to-date it's down pretty meaningfully. So I guess the question is, Is it right to think about a pretty dramatic increase in fourth quarter EBITDA margins? And I guess by extension, even though EBITDA is flattish for the year, that would then seem to suggest that we're going to see - especially if we couple it with the nice October growth on the revenue side - pretty decent growth in terms of overall EBITDA still for this year despite just flat through three quarters?
Brian Witherow: Yes, I think the way to look at it, James and maybe - the year that I would tell you to go back and take a look at is 2014; was a similar year to this where we ended the third quarter probably in worse position than we have ended this third quarter, where were about flat in terms of EBITDA. We were down several million dollars in Q3 of 2014. And you can see what a strong October - and I would also throw in there December/November for Knott's Berry Farm - can mean for fourth quarter EBITDA. So when you look at fourth quarter EBITDA, the margins get a little wacky, right? It's hard to look at that from a margin play, because the lion's share of our parks are in operation. But what I will say is October of this year, that month we're going to see some really strong margins. We're running at some of our biggest days and we're nowhere near peak from a staffing perspective. So that works in favor from a margin perspective. And as long as we see Knott's and Great America's WinterFest deliver as anticipated, I think the planned cost initiatives that we have in place will get us back to that 37% level.
James Hardiman: Then I guess just lastly and I guess where we finish EBITDA for 2016 is still somewhat of an unknown. Again, we're basically flat through three quarters, maybe a little bit better than flat to finish the year. But getting to that $500 million target for next year would assume pretty significant growth, at least somewhere in the 6% to 9% range at least to get to that for next year. Can you help us think about why you have confidence that that's still on the table? And maybe as I think about attendance, per-cap and margin, should I be weighting those evenly or are there one or two of those that you have even more confidence in as we look to 2017?
Matt Ouimet: Yes, hey, James; it's Matt. I think you've got to take a step back and think about, again, where were going to end up 2016. I'm not sure I would agree with your math necessarily, given what happened in 2014. I really do guide you back to take a look at that. Then we've got - we've started to do our budgeting process. We know where we're headed. We've got three WinterFests next year which obviously expands the operating season. We've got a strong start to our season-pass sales. We've got great product going in at Knott's and Cedar Point and Kings Island. So I think when we put this component parts together and - we're still very confident that we can hit that number in 2017. Again, I don't know that your 6% to 9% growth is going to be required to get you there next year.
Operator: [Operator Instructions]. And our next question comes from Barton Crockett with FBR Capital Markets.
Barton Crockett: Let me see; one thing. I wanted to just get your updated thoughts on CapEx for this year or next year and also cash taxes. Just what are you seeing at this point?
Brian Witherow: Sure, Barton; it's Brian. For 2016 we're on pace to spend roughly $150 million to $160 million in CapEx which compares to about $175 million in 2015. So as we had indicated, we're seeing that come back in. On a more normalized basis, going forward what I would tell you is we believe the target spend to drive the core growth and achieve our long term strategic plan targets would be in that $120 million to $130 million range. But I'd caveat that by saying that investments above and beyond that, incremental investments, we would look to make those where we identify incremental opportunities with compelling returns. Matt referenced on the call two such projects that we have already activated, one for the 2017 season, the Breakers Express expansion and refurb; and the second, the 2018 project which is the addition of roughly 160 additional rooms to the Hotel Breakers at Cedar Point. So when I layer both of those projects back into 2017 and 2018, we probably get closer to that $150 million level again or $140 million to $150 million. But the normalized run rate I think for the core growth and achieving long term targets would be in the $120 million to $130 million range. As far as cash taxes, as we said coming out of 2015, we saw that number moving north as we had used up and exhausted our NOLs. I would anticipate this year to be roughly around a $50 million number. Long term, that range, if I'm looking to give you a range, you're probably in the $50 million to $60 million range over the next several years. But $50 million would be my estimate for modeling for this year.
Barton Crockett: Now, I understand you're not going to tell us the uptick in the season-pass presales for next year. But can you give us a sense of how much year-over-year attendance so far this year has been season pass versus day visitors?
Matt Ouimet: Well, we've said before that it was north of 40%. We're not going to give a specific number anymore, but we also disclosed it's up 400 basis points from where it was last year. I will tell you I think what's interesting too, Barton, we're really seeing the leverage come out of our CRM organization. The way we're communicating with people, the type of products we're offering to people, the messages we're giving to people, I think all of that is playing in. And then I would encourage everyone to really focus on our special events strategy. There is - we talked about not only a season-pass visitation up this year but the average visit for each of our season-pass guests is up each year. And I think that's going to be a fundamental part of our platform going forward. It is just increasingly obvious to us that people are looking to come to the parks to have something special going on for a limited period of time. And maybe the best example of expanding that is WinterFest next year.
Barton Crockett: Yes. Now on the topic of seasonal, this double-digit growth in October. Last year's October was, I think, great weather; this year I think was great weather. So why is it up double digits? What's driving that?
Matt Ouimet: Well, I think a couple things. One is you probably had some pent-up demand from earlier in the summer, people who had intended to come and didn't show up. But the reality I think is we're seeing - and I'm not sure it's unique to us. We'd love to take credit for it, but I think these Halloween celebrations just from a consumer appeal standpoint continue to be something that consumers expect and more and more often are taking advantage of. I also will tell you the investment we've made, the quality of our offerings in each of these parks - when you're able to have not only the extra entertainment of Halloween but also all the rides and attractions open, that's a pretty compelling opportunity. So in the end, I've got to give credit back to our operators and our creative people. I think the product is just damn good.
Barton Crockett: Yes. Then just one final on the seasonal stuff. What's bigger for you guys? Is a WinterFest bigger or a Halloween bigger, where you're doing both in a park?
Matt Ouimet: Yes, I think winter - or Halloween will always be bigger. It generally has a few more days. But we'll find out. People have been around long enough, talk about the early days of Halloween when it wasn't very impressive; and obviously today it's one of our biggest offerings. The other thing - I probably should bounce back to the earlier question. We still believe and again we can't take credit for it, but this consumer who is looking for experiences over possessions, that absolute trend in the consumer purchase behavior is part of what's contributing to our growth overall. I mean this 2% attendance growth for this year is pretty damn impressive, I think.
Operator: And we have a question from Tim Conder with Wells Fargo Securities.
Tim Conder: I wanted to circle back on Santa Clara. You've had the rezoning going through that process, getting it done. Maybe just give us a little bit of framework as to the dream you want to - where you are going there or the opportunities that you could do, given now that that rezoning is largely completed.
Matt Ouimet: Yes. Tim, I'm not sure quite how to frame it on the call like this, but what you do know is we have a part that's about 120 acres. We have a long term ground lease that runs for multiple decades there. And what the zoning will allow us to do is make investments similar to those investments we've made in places like Carowinds, maybe as a reference point, in a marketplace that is very, very unique in terms of how dynamic and, quite honestly, just how healthy that economy is. What you would expect to hear from us probably in the latter part of next year, by some point, would be a cadence for investment in that park and a vision for where that park goes. I would - I was thinking about it as I was driving in this morning; I think one thing that we'll have to communicate more effectively by the time we get done is, It will be a traditional amusement park, but it probably will end up with elements that aren't at our other parks, particularly an emphasis on retail dining and entertainment for a marketplace that seems to be looking for something like that. But I will tell you, we'll have a better conversation probably late next year, Tim.
Tim Conder: Okay, and then one last question here. Fast-passes or, I apologize, the equivalent thereof, what are you seeing maybe year-over-year in the attachment rate there? Both in general for the year and then if you just isolate what's going on here at the Halloween events.
Matt Ouimet: Yes, we continue to see that penetration rate grow. We continue to see price elasticity there that allows us to lean into the big days with them in. And quite honestly, the addition of Valravn here at Cedar Point has a new lever associated with the value associated with it and the fact that we could offer more season passes and the fact that it's highly sought after in terms of demand to ride the new ride. So we continue to believe that program is an extremely important lever for us.
Tim Conder: And the Halloween events, would that be a higher rate than throughout the remainder of the year, Matt?
Matt Ouimet: It depends how you look at it, because Halloween events also have Fright Lane passes which are front of the line for the mazes and the Skeleton Key Rooms. So in total I would say the Halloween events have some of the highest revenue days associated with Fast Lane, but it's overall been a huge success for us. I think what Richard would tell you is that we've been - continue to be surprised and it's a positive surprise, that we haven't plateaued on that program yet. So we're going to continue to push it forward.
Operator: And that does conclude our question-and-answer session. I'd like to turn the call over to Matt Ouimet for closing remarks.
Matt Ouimet: Thank you all for your questions this morning and particularly for your ongoing interest in our Company. I hope, as you can tell from our comments today, we're pleased with our accomplishments to date and we're confident in our ability to create value through our growth opportunities and continued execution of our long term strategy. We're also confident in the Indians tonight, just for the record. Stacy, back to you.
Stacy Frole: Thank you, everyone, for joining us on the call today. Should you have any follow-up questions, please feel free to contact our Investor Relations department at 419-627-2233. We look forward to speaking with you again in about three months to discuss our fourth quarter and year-end results. Go Tribe.
Operator: Once again, that does conclude today's call. We appreciate your participation.